Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Safe Bulkers Conference Call to discuss Third Quarter 2014 Financial Results. Today we have with us from Safe Bulkers, Chairman and Chief Executive Officer, Polys Hajioannou; President, Dr. Loukas Barmparis; and Chief Financial Officer, Konstantinos Adamopoulos. At this time, all participants are in listen-only mode. There will be a presentation followed by a question-and-answer session (Operator Instructions). Following this conference call, if you need any further information on the conference call or on the presentation, please contact Capital Link at 212-661-7566. I must advise you that this conference is being recorded today, Thursday, November 06, 2014. Before we begin, please note that this presentation contains forward-looking statements as defined in Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934 as amended, concerning future events, the Company’s growth strategy and measures to implement such strategy, including expected vessel acquisitions and entering into further time charters. Words such as expects, intends, plans, believes, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. Although the Company believes that the expectations reflected in such forward-looking statements are reasonable, no assurance can be given that such expectations will prove to have been correct. These statements involve known and unknown risks, and are based upon a number of assumptions and estimates, which are inherently subject to significant uncertainties and contingencies, many of which are beyond the control of the Company. Actual results may differ materially from those expressed or implied by such forward-looking statements. Factors that could cause actual results to differ materially include, but are not limited to, changes in demand for dry bulk vessels, competitive factors in the market in which the Company operates, risks associated with operations outside the United States, and other factors listed from time to time in the Company’s filings with the Securities and Exchange Commission. The Company expressly disclaims any obligations or undertaking to release publicly any updates or revisions to any forward-looking statements contained herein to reflect any change in the Company’s expectations with respect thereto, to any change in events, conditions or circumstances on which any statement is based. And I now pass the floor to Dr. Barmparis. Please go ahead, sir.
Loukas Barmparis: Good morning. I’m Loukas Barmparis, President of Safe Bulkers. Welcome to our conference call and webcast presentation. Let’s move to discuss the financial results for the third quarter of 2014 which were announced yesterday after the close of the market in New York. We’re in Slide 3, where we present the synopsis of main events on shipping industry. Large orderbook remains a problem. During the nine months of 2014, orderbook has grown by 27 million deadweight tonnes or 3.8%. Orderbook for the remaining 2014 is 17.8 million deadweight tonnes of which 3.7 million are for Panamaxes and 6.3 million for Capes. Fleet is expected to grow by 9% in 2015, 6% in 2016 and 1% for 2017. Scrapping activity has slowed down in comparison to 2015 where 21.7 million deadweight tonnes were scrapped. During the nine months period in 2014, 11.8 million deadweight tonnes were scrapped. As presented in the graph at the bottom right Panamax [orders] [ph] just lower at about 8% for 2015 and 5% for 2016. On slide four, we present a brief outlook of the recent charter market. As presented on the top graph, Capes overperformed in 2013 mainly due to a short-lived surge in rates during second quarter of 2014. The average year-to-date is at 13,700 in comparison to 12,600 for the same period in 2013. [Inaudible] Capes are chartered for very long periods at an average charter equivalent rate of 29,400. During the second half of the year, anticipated repeat of last year’s peak did not materialized. Currently market is volatile and spot rates are 26,000 for Capes. At the bottom of the graph we present the outlook for Panamax at the market, average year-to-date is about 7,600 in comparison with 8,800 for the same period 2013. Despite positive start to the year, Panamax market remained lower in almost all periods up to date. Present market conditions have pushed rates at the region of about 10,000. Forecasted surge of rates during the second half of the year didn’t materialized. Charter rates on average from September 2014 onwards were about 40% lower to 7,400 from 13,200 in the same period in 2013. Moving on to slide five, we present certain data which are leading indicators for our market assessment. Shipping market is presently facing elevated risks. Uncertainty coming from China with slowdown of economy, rules for reducing imports of certain grades of coal, imposed taxation on imported goods, et cetera, large order book in an already oversupplied market, reduced oil prices which may eliminate slow steaming directly increasing supply of vessels. Above risks are reflected on the FFA curve for the forward periods of 2015 and 2016, which are presented on the top graph. Reversal of positive sentiment of first half of 2014 when cal15 and cal16 were trading up to 14,000. Presently, doubtful market prospects have set the FFA market down to 2013 lows of 8,900 for Cal15 and Cal16. At the bottom graph we present the asset values of five year of Cape and Panamax asset by Baltic Exchange. Prolonged depression of charter rates and reversal of sentiment has negatively affected asset values. The asset values bottomed in beginning of 2013. Until the first half of 2014 anticipated recovery increased asset values by around 50% for Panamaxes and about 70% for Capes. Presently loss of steam in the market drops values close to last year low levels especially for Panamaxes. Present market conditions create aversion in newbuild orders. Moving on to Slide 6, and the graph represents our fleet order book. Currently, we own a fleet of 32 high specification vessels with an average age of 5.7 years, we have contracted substantial expansion for the next year with an order book of 12 Eco design newbuild vessels mainly from top quality shipyards in Japan. With deliveries of six in 2015, five in 2016 and one in 2017. By 2017, one-third of our fleet is expected to be comprised of Eco ships. Turning to Slide 7, we evaluate the performance of our chartering policy against the spot market, which we outperformed most of the time as presented on the bottom graph. The open days for our fleet including existing fleet and newbuilds are 27% for anticipated ownership days for the remainder of 2014, 77% in 2015 and 90% in 2016. We have a number of vessels opening in the next period and we should employ them basically in the spot market which currently has shown some strength. Going to Slide 8, we present on the bottom graph our daily operating and general and administrative expenses. In G&A we include public company and management fee expenses, in total we paid daily $5,745 to run our vessels in our company. This figure includes all cost except depreciation financial expenses. It is amongst the lowest in the industry and contributes significantly to a relatively low breakeven point which is very important especially during weak markets. On the top graph, we present the average interest rate of 1.685% including the margin for all bank loans and credit facilities during the first nine months of 2014. Maintaining low financing cost and [preceding] [ph] our financial flexibility. We’ll comply with our covenants. On Slide 9, on the bottom graph we present our net debt per vessel ratio at 8.6 million in third quarter of 2014 together with the fleet expansion. Our intension is to maintain comfortable leverage on a net debt per vessel basis and comply at all times with our financial covenants. The average age of our fleet is 5.7 years while currently the value of five year old Panamax is about [22.7] [ph] million as per the Baltic Exchange sale and purchase assessment Index. The top graph represents our liquidity and our ability to finance our capital expense requirements. As of September 30, 2014 our liquidity was 523 million while our capital expenditure requirements were 325.6 million. We have not included additional [Inaudible] price before 110 newbuild vessels and our contracted revenues through 2017 providing us with further financial flexibility. Moving on Slide 10, our Board has declared a dividend of $0.04 per common share, the low prevailing capital market conditions during this year [Inaudible] considered prudent to adopt a dividend policy to lower levels which will further strengthen our liquidity and balance sheet, it impacted [Inaudible] 200 million in consecutive quarterly dividend since the company’s IPO in 2008 in line with our policy to reward our shareholders by maintaining a meaningful dividend. Our Chief Financial Officer, Konstantinos Adamopoulos will now present our financial results.
Konstantinos Adamopoulos: Thank you Loukas, and good morning to all of you. On Slide 12, we present selected financial highlights for the third quarter of 2014 compared with the same period of 2015. Net revenues decreased by 13% to $36.5 million from $41.9 million mainly due to the decrease in charter rates. Daily running expenses increased by 7% to $4,542 compared to $4,249 for the same period in 2013, mainly due to a dry docking of two vessels in the third quarter of 2014 compared to none for the same period in 2013. Interest expense decreased to $2 million or 5% in the third quarter of 2014, from $2.1 million for the same period in 2013 as a result of the decrease in the average outstanding amount of loans and credit facilities and in weighted average interest rate of such loans and credit facilities. Net income decreased by 87% to $1.5 million from $11.6 million in the same period in 2013. Adjusted net income decreased by 92% to $1 million from $13.1 million. EBITDA decreased by 38% to $14.4 million from $23.4 million during the same period in 2013. Adjusted EBITDA decreased by 44% to $13.9 million in the third quarter of 2014 from $24.8 million during the same period in 2013. Loss per share and adjusted loss per share were $0.02 and $0.03 respectively compared to earnings per share and adjusted earnings per share of $0.14 and $0.16 respectively in third quarter of 2013, calculated on a weighted average number of 83,448,120 and 76,684,316 shares respectively. Moving on to slide 13, we present definition and reconciliation of our financial fundamental for the third quarter of 2014 compared to the same period of 2013. Slide 14, we present selected operational highlights for the third quarter of 2014 compared to the same period last year. Ownership, available and operating days increased by approximately 13%. We owned and operated an average of 31.05 vessels and fleet utilization rate of 99.1% compared to an average of 27.43 vessels and the utilization rate of 99.3%. The average daily time charter equivalent per vessel was $10,736 compared to $15,264. Moving on to slide 15, we present definition and reconciliation of our operational fundamental for the third quarter and first nine months of 2014 compared to the same period of 2013. As presented in slide 16, our Board of Directors declared for the third quarter of 2014 a cash dividend of $0.04 per common share payable on or about December 05, 2014 to shareholders of record at the close of trading on November 21, 2014. We have declared and paid dividend consecutively in all 26 quarters since our company’s IPO more than 6 years ago and we’ll continue to [Inaudible] taking into account market conditions and prospects going forward. Last month our Board of Directors declared a cash dividend of $0.50 per share on 8% series B preferred shares, a cash dividend of $0.50 per share on 8% series C preferred shares and a cash dividend of $0.66667 per share on a 8% series D preferred shares. Each dividend was paid on October 30, to shareholders of record as of October 24, of the series B, series C and series D preferred shares respectively. Summing up our presentation, as the market outlook is still challenging we’re prepared as a long-term oriented company. We’ve been in shipping for more than 50 years with our outstanding track record and reputation. We maintain low financial costs as a result of our [low spreads] [ph] and our prudent leverage in compliance with our financial covenants. We remain committed to further dividend policy to reward shareholders and at the same time ensure future expansion and deleveraging. You may find our contact details in Slide 17, thank you all for listening and we’re now ready to accept questions.
Operator: Thank you, sir. (Operator Instructions) Our first question comes from Chris Wetherbee. Please go ahead.
Alex Hahn - Citigroup: Hi guys, this is Alex Hahn in for Chris. So seeing that the majority of the charters are set to expire soon, do you guys feel that long-term charters can be locked in or is it something you'd consider further down the road?
Polys Hajioannou : Yes, good morning to you and at the moment market is improving, the sport market is improving but we cannot see meaningful improvement in the period market basically because FFA curve is very weak for next year and it’s not, there is not a meaningful even for one year charter to book right now let alone for long term charter so, it’s something we’ve to wait during a better environment and doesn’t look that right now is we’re able to secure long term charters at any meaningful rate. So we’re prepared to work short period of spot market until the sentiment changes.
Alex Hahn - Citigroup: And just piggybacking on the previous question, are there any indications in terms of demand or even slippage that speak to near-term rate improvement? I mean there was a recent surge, we are just wondering if you think that this is like sustainable or can you also speak to like the favorable market conditions that you guys talked about in the presentation?
Polys Hajioannou : Yes, presently the market in the last 10 days is improving after the surge of Capesize rates to $26,000 a day and Panamaxes are reaching around $10,000 a day on the spot market. There are opportunities in certain areas like the Far-east that you can find for Panamaxes even rates up to 13,000 or 14,000 but this is for trips of two months, 50, 60 days that sort of duration. So, yes, it’s improving but we want to see I mean how deep this improvement will be –day it will last, I mean the market lacks confidence so it depends how long this surge stays in order know about where we’re seeing better freight rates. So, at the moment it’s too short to judge.
Operator: Thank you. Your next question comes from Jon Chappell. Please go ahead.
Jon Chappell - Evercore Partners: Loukas, if you could provide, or Polys, a little bit more information on the thought process around the dividend? Obviously, the market hasn't played out the way anybody expected it to. However, you have a significant amount of liquidity above and beyond your capital commitments. Why pull the trigger now instead of maybe wait through the winter and then see if the market could turn up?
Loukas Barmparis: Look, we always adapt the dividend - we visit our dividend policy quarterly and as we said we adapted to the market conditions; last year when we’ve seen a good market we adapt higher dividend, our dividend policy which pay for a certain period of time. Presently, we’ve seen we had I mean basically three quarters of the year sequentially low rates and it’s the first time that we had also let’s say very minor of course but losses. And we thought it’s prudent to adapt the policy despite the start of the financial strength of the company. And I think what we all want to see a strong company. As we go ahead and we never do something dramatic or drastic. We want to adapt gradually whatever it is needed. So in the long-term, we have to see the financial strength to [clear out] [ph] the weakness and to be able to be flexible as we have done all the past years. And of course the other milestone of our policy is to pay a dividend which is we have done from 2008 until now. And we have maintained stable dividends despite a very low market.
Jon Chappell - Evercore Partners: And then you noted in one of the slides that the asset values have turned down pretty significantly, I think you said the Panamax is getting close to last year's lows. Does that kind of change your view on secondhand acquisitions? Are you in the market trying to use your liquidity to add assets or right now is there just too much uncertainty in the market that you're going to continue to take delivery of the newbuilds and kind of hang back?
Loukas Barmparis: Look, I told you that we have a substantial program of expansion and by 2017 we will reach 44 vessels of which 16 vessels with be eco ships or new technology. We have done that in the past definitely that we’ll do it again. We want to see how what is the development of the market. I think the most important issue of the company right now I mean we are very focused on the chartering let’s say operations because we have seen this improvement in this spot rates and we want to see whether we can -- and this will be followed by an improvement in the period rates which could facilitate the company and the sentiment of the company about the market conditions. Also I mean the global development of the economy in China, et cetera, we’ll monitor all these things, so to be always pro-active and react in time.
Operator: Your next question comes from Fotis Giannakoulis. Please go ahead.
Fotis Giannakoulis - Morgan Stanley: You mentioned earlier about the Panamax market being at around $9,000, $10,000, if you can differentiate to us the different type of vessels that you have. You have some Panamaxes, which are a little bit larger than the normal vessel [A index] [ph]. What kind of premium if any of these vessels can earn? And also given the fact that you had some recharterings this quarter, but at the same time the quarter showed some small improvement versus Q3. So far have you been in a better shape, in a better average rate compared to the previous quarter and where do you expect the fourth quarter to be regarding our earnings?
Polys Hajioannou: The quarter is improving from the previous quarter. There is no doubt about it. Of course we have good first half of September and then a drop of the market. But the last two weeks, the market start improving again so at the moment there are ships in the fleet being fixed anything between $11,000, $12,000, $13,000, a day, on the spot market. So it’s improving. Roughly the post-Panamaxes are benefiting more because of the Cape surge and we are seeing numbers. Of course we have a few to fix the next few days; we’re seeing proposals in the spot market again for rates up to $14,000 a day, $14,500, even we have seen. So these are, as you understand trips of 40, 50, 60 days. So all this will improve there in fourth quarter, definitely that will looks like it will be an improved quarter. But is not yet a quarter that we feel we could sign the sort of charters that we could say we can lock in and lock rate, to lock in a profitable rate for one year for example. So since we have rates below our breakeven for long term charters we’ll have to continue fixing ships for in the spot markets and turn whatever premium this spot market is offering.
Fotis Giannakoulis - Morgan Stanley: And regarding the different type of vessels, what is the rate that a normal Panamax 75,000 deadweight can get versus Kamsarmaxes and/or Post-Panamaxes? And if there is any differentiation in the age of the vessels?
Polys Hajioannou : There is difference, as the market improves there is difference, the Kamsarmaxes definitely are doing around 5%, 6% more than the Panamaxes and in an improving market the Post-Panamax are doing around 10% more than the Panamaxes. In the low market like we had in the summer that Panamax and Post-Panamax they all earned the same level, in the very low market. But right now we start seeing some differentiations, some 10% improvement on the Post-Panamaxes than the other ships. And this is I mean down to Capes, the improvement in the Cape size.
Loukas Barmparis: One important also thing that we want to focus is that with this I’ll say substantially low market, we have let’s say a very minor losses and this is because of our extremely lean structure and efficient operations and low breakeven point at the same time in this market we’ve seen that there is [Inaudible] towards ordering additional vessels which will benefit the market overall in the future. So we can, for example this is a benefit that we can stay even in the low market, marginally sometimes profitable, or making very minor losses, while - the risk for additional investment is not there and we may see a better market in the forward periods when the supply and demand will find an equality.
Konstantinos Adamopoulos : Before you have to bear in mind the last two quarters have been exceptionally low with average rates of BPI and BCI on the scale on pro rata for our fleet segments has been around $7,000 per day for the second and the third quarter, so this was extreme quarters to our mind.
Fotis Giannakoulis - Morgan Stanley: You mentioned earlier about asset values softening, can you give us a sense of where asset values are for standard vessels and for Japanese built vessels? And based on this estimates, where do you estimate your NAV on a charter adjusted basis that it is right now? And also if you can comment about the decline of the yen and if this has any impact on newbuilding prices for Japanese build vessels that will make it attractive for you to order additional ships?
Polys Hajioannou : Yes, regarding, I will start with the second part. Regarding the Japanese yen, of course this is a big favor to the Japanese shipbuilders, it means they will be making more profits as we deliver ships now but they contract it in dollars and they will sell them and receive higher yen equivalents, so it’s in their favor. Now if this will induce them to sell ship berths for 2017 or 2018 because this is the sort of deliveries they have in the books this remains to be seen. We are in no hurry to order a [shortfall] [ph] [Inaudible] and definitely when the time comes there is softer [trends] [ph] will help the negotiations. But this is not something for the next quarter or so. I think it will be next year. Regarding the first part I think, you remind me what you asked the first part, I forgot already.
Fotis Giannakoulis - Morgan Stanley: If you can give us your estimate about asset values for newbuilding Panamaxes or resale Panamaxes and your estimate for your charter adjusted NAV?
Polys Hajioannou : The charter values have adjusted, you know have adjusted half way through to the gain that we saw in the second half of 2013, so half of that gain has been extinguished the other half remains. So we have not reached the low levels of December 2012, but we’re in half way between the peak of March last year and where it is now. Of course as freight market improving we will see small improvement of asset values. I feel the present value of the company it’s well above what is the stock price today, I think the charter adjusted NAV figures of ships and as we had in the end of September at least when we checked some valuations, that rate was well in the $8 charter adjusted NAV, according to our calculation. But the market is generally undervaluing the shipping stocks and specially dry bulk stocks. So I mean our company cannot be an exception this time.
Fotis Giannakoulis - Morgan Stanley: And one last question and I'll hand it over. There is still some optimism about the Capesize market despite the weakness of the previous few months and this is mainly driven by the Brazilian exports that are expected next year. Even with the very high dependency over the Panamax market to the coal trade, which is currently very weak; what would be the cap release that would drive the Panamax rate higher and help this segment of the market recover?
Polys Hajioannou : The cap release I think is improving order book and reducing number of new ships I mean we technically see no ordering or Panamax or Kamsarmax in the last six months. So if this continues for another six months it would be very good news for the long run because I think the Panamax, Kamsarmax order book is in better shape than Capes or Supramaxes so I think there will come a point that the reduced order book will help demand to catch up. I think the iron ore exports of Brazil we saw the exports doing in September, doing a highest monthly exports of 33 million tons of iron ore from the Brazil which is a highest since December 2011. We -- in the third quarter of 2014 the iron ore production of in Ovale was a highest in their history, 86 million tons and we know from their plants from Ovale plants about the next three years, they will increase production by about total of 130 million tons. So all these are good news for [indiscernible] if Capesizes are doing well that the sentiment changes and this is affecting post Panamax as to start with and later on Panamaxes. So this will definitely help I mean the sentiment of the market and maybe capsizing to a higher level about how you have seen recently also Panamaxes are responding to an increase of Capesize market so it’s good when this is happening.
Operator: Your next question comes from Shawn Collins, please go ahead.
Shawn Collins - Bank of America Merrill. Lynch: So obviously the overall market is very weak, can you just touch upon your observations or the trends that you're observing with tradeflows of the different products; coal, iron ore, grain? And specifically on grain, the record grain crop in the US, are you seeing that translate into more flows?
Polys Hajioannou : Yes, this is happening and we see demand from U.S. Gulf and from U.S. West Coast for more grain cargoes. This has lifted rates for grain business out of Seattle and the other parts of the West Coast, we’ve seen ships fixing around $12,000 to $13,000 in the spot market to do such cargoes and also we’ve seen the equivalent of $17,000, $18,000 being paid on continent U.S. Gulf parties for wheat grain. So this is definitely helping the market and I mean we need to say a little bit how the weather conditions develop in the North hemisphere in the winter. Last year we had a very soft winter in Europe and very soft imports of coal let’s see if this changes this year it will help also the coal movement in the North Atlantic, which is important to maintain strong sentiment after the grain export season of the U.S. Gulf finishes by the end of the year. So, at the time the grain is helping a lot of market, yes, it’s helped improve from dismal rates $5,000 a day in the summer months it’s now market trading $11,000, $12,000 a day.
Shawn Collins - Bank of America Merrill. Lynch: Do you mind just briefly touching upon coal which is obviously pretty weak and also on iron ore and what you're seeing in each of those two products and the flows resulting from them?
Polys Hajioannou : Look, coal is a major commodity for Panamax like it is the grains and like also the smaller degree the iron ore. We see a lot of coal movement, we see coal movement but the main problem I think is with the coal is not that China is not importing coal this is coming from places like Indonesia and this is shortening the tonne miles. I mean that we have many large ships employed in the coal business and I think this will continue. A lot of it depends on the weather conditions and how much the need for electricity in their factories the Chinese. So yes there has been a sharp drop between January and August. But we feel now that we see enough coal movement. And I don’t know the latest figures I don’t have them handy. But I get the feeling that it’s improving from the very low figures we had in August. The iron ore I think the tonne miles will drive the rates and it’s all happening on Capes. And if Capes $30,000 or $35,000 a day in the next few months this will definitely mean that there will be split of cargos and Panamax cannot stay at $10,000 a day. We’ll improve to more meaningful rates. Right now we’re seeing very few Cape cargoes being split into post-Panamax but I mean the magic number is $30,000 I think when we see this on the spot market of the Capesize right now the market is around $25,000-$26,000 and we’ll see $30,000 definitely we always are seeing cargoes being split into post-Panamax like we saw in the second half of last year, September-October of last year Capes was doing at $30,000-$40,000 and post-Panamax were being fixed at $20,000 in the spot market. So, this is something that may happen again if there is some further improvement on the Capesize market which we think it will gradually happen.
Operator: (Operator Instructions) Your next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: When looking at your presentation three months ago, the first side and supply said order book declining in 2014 onwards . And now it says that the orderbook remains a problem. And I am wondering why your spend on the orderbook has changed so much in three months?
Polys Hajioannou: I don’t have the last presentation. I don’t think it has changed anything because we have not seen many additions in the orderbook since last March. So, maybe it would have been better clarified by some additions as the year passes it becomes more clear how many deliveries has been going on and how many contracts of those reported in previous months have actually been materialized. We are hearing some shippers in China they are having certain problems in delivering refund guarantees. And as a consequence in many owners that they have placed ships there they are not reluctant to wait too long for refund guarantees because the market is what it is. They feel they can get better deals elsewhere. So, many of these contracts we thought we’re placed or should have been placed according to sale and purchase reports failed to materialize. So maybe that is one of the reasons why specific orderbook has been adjusted. We take these figures from the same sources as you are taking them and the same presentations you are monitoring and likewise what other people that we monitor. The good thing is what we see in the market like we saw a very hectic ordering period between September 13 and March 14 the period between March, April 14 and now has been very-very quiet and this at least as Loukas said and as we put in our commentary I think at least this is an encouraging sign. I mean it may sound naive what I would say but I mean even an extra six months of low market will not do us to harm at all in that respect. But of course I mean we want the better market and of course when the better market comes people will again consider newbuildings. So it’s like a gain that we are marketwise tries to balance always between the appetite for ordering and the actual demand.
Loukas Barmparis: Okay. So and in addition sometimes for example I mean we just also as Polys said all the reporting addition sometimes you may see that in a period you may have let’s say little bit less of deliveries and maybe some other orders have pushed in another period. So, let’s say this now that could be inflated gradually it’s not additional orders it’s just let’s say how they are reporting and how they are pushed here or there based on the guy could get the report.
Unidentified Analyst: Okay. So for 2015-2016 how do you currently see the supply growth versus demand growth playing out. Do you see it as a headwind or tailwind for the industry?
Polys Hajioannou : Look I think that is improving, as I told you the last six months we have seen no orders really, we have not seen real orders. And in 2014 we had lot of external factors effecting the market whether that was the nickel or export ban from China or the shadow banking from Indonesia or whether it was the shadow banking unwinding of China or whether it was Argentina going almost bankrupt and having their problems with the devaluation of their currency. Whether it was Ukraine or Middle East or all these things that were happening and distorting the market extremely. I mean things like that should normalize out in the course of the next year. I mean we expect every year to have one to two bad events, but we couldn’t expect like 2014 to have seven or eight, distorting events happening at the same time in the market. So we make calculations according to our analysts that was an effect of 3.3% on annualized demand because of all these anomalies that they were creating. And that was what really affected the market in the period between March and September. I mean of course the markets are finally balanced and even a 1% change of supply or demand affects the market by a certain multiple according to the economies the world economies. We expect first normalization of demand and this is what will drive freight rates. I mean these normalized demand does not materialize, we will have to wait a bit longer maybe an extra year because there will be no orders by owners and market will sort out itself a year later. I mean that’s what’s going to happen, but we expect that there should be normalization on the demand side to drive the market. I am not so much worried about the Panamax order book or having said that we don’t want another public company going out and ordering 50 or 60 ships in one go.
Unidentified Analyst : Is it fair to say based in your previous comments what the $8 per share NAV that under $5 a share, right now your stock seems pretty cheap. And the math of the return there seems pretty good. Why don’t you guys use some cash to buy back shares?
Polys Hajioannou : Maybe you deserve a seat on the board. Maybe that’s not a bad idea, I don’t know. If a company has financial flexibilities, certain things will come up on our minds in the next few weeks if things prevail to be as they are. And suddenly I am seeing the market and the company extremely cheap, of course you may argue you may counter argue that there are other companies out there that they’re also extremely cheap in the dry bulk sector. I wouldn’t disagree with that there are other companies there, it’s a matter of sentiment what investors are doing but as a company we will evaluate in the next few weeks all options that we have in front of us. One of the good things of having liquidity is that definitely you can do certain things when your stock is so much under value.
Unidentified Analyst : And I guess this year two of your peers Knightsbridge and Star Bulk, have both participated in some transformative deals. What’s your thoughts or appetites on participating in that type of activity.
Polys Hajioannou : I mean we’re more of family oriented business that we want to try and run the business in a more controlled way and show as much as we can and do it gradually over the years we’ve grown our fleet at a certain rate and there comes a point and management team can’t control so much and do it efficiently and do it profitably, we’ve demonstrated over the years that our model is profitable model and even this quarter that was terrible spot market, operationally we had the profit, we didn’t have a loss even in this quarter. So, we believe that every company must find an optimum level of where and how they can run a business and it’s not a solution to do what other people are doing. Because I mean they may have different priorities, they may have different organizations, they maybe outsourcing lot of things to third parties and this is normally raising costs and we don’t want to do it that way because profits are marginal at most of the times and we’ve to have even profits in the lower market and most of the time market is surprisingly low. So, we will continue we have a track record and we have a order book growth -- fleet growth in our books another 12 ships to come in. I think pretty busy the next two years but that doesn’t mean that we won’t see a good deal and we won’t buy an extra couple of ships or sell one of the older ships or do something more to realize value in the company but whilst we admire what Star Bulk is doing and of course I don’t know the other company very well you said the Knightsbridge we cannot all do the same thing Star Bulk is the company is controlled by big private equity fund, they have other priorities. So I mean each company has different horizons.
Operator: (Operator Instructions) Our next question comes from the line of Mitchell Kramer please go ahead.
Mitchell Kramer : This is Mitchell Kramer. I am an investor only. Our family has owned stock and we own about 8,000 or 9,000 shares of your stock and have for many, many years. We are looking forward to long-term growth. We're not interested in short-term fixes or your buying back shares of stock so that the stock can go up in the short term. We're looking for the Company to be a long-term investment and to be a successful investment. And frankly, I congratulate you on the conservative way you seem to be running your business. My question was given the problems in the market, how do you see your market share developing over the next number of years or several years?
Polys Hajioannou : Look we’re also a family focused on Safe Bulkers is our shipping company, we own --57% of the company as a family so we understand that we’re interested in long term profitability and the long term paying back dividends to the shareholders and this is why we’re in business. We are not in business for a sport. We’re in business to make money but to make money sustainably and over the long run and look I said before of course sometime they said that company delivers in the past six years over $200 million of dividends. So, I mean depending on what are the freight conditions we will expect the company to do very well over the shipping cycles but the most important thing is to have a company that is able to do even some profits or do better than others when the market is low because in the low market you’re judged. If you are a well-run company and if you can deliver even a small profit in the good market I guess everybody is smiling and everybody looks clever and everybody can deliver results. So, we’re fully focused of being a company that can run profitably and meaningfully even in the low market and we have a hands on approach and this is our management team and myself personally is what we are dealing with every day and every day we try to improve operationally on what we’re doing. Sometimes of course we cannot achieve the best picture for the market but we have a platform we’ve a best ships and Japanese built ships on the best -- that's when the market changes we’ll be among the top two, three companies to win the meaningful contracts because we will have more efficient and more economic ships and the competitors and you have to remember that most of our competitors have ordered ships in China not in Japanese shipyard so it’s a completely different model of company here. Of course I mean the long market is long market for everybody but I mean we’re here to keep trying and deliver better results overall.
Operator: Sir, there are no further questions at this time.
Loukas Barmparis: So thank you very much. With that we’re ready to reach one question. Just before we would like to thank you once more for attending our conference call and we’re looking forward to discuss again with you in our next quarter results. Thank you.
Operator: Thank you sir. This does conclude our conference for today. Thanks for participating. You may all disconnect.